Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to AptarGroup's 2014 Third Quarter Conference Call. [Operator Instructions] Introducing today's conference call is Mr. Matt DellaMaria, Vice President, Investor Relations. Please go ahead, sir.
Matthew DellaMaria: Thank you, Kevin, and welcome, everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our performance. Bob will then discuss our financial results in greater detail, after which we'll open it up for questions. Information that will be discussed on today's call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup's SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our website. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference over to Steve.
Stephen J. Hagge: Thanks, Matt, and good morning, everyone. Yesterday, AptarGroup reported third quarter revenues and an earnings per share that were record levels for the company. Demand for our industry-leading innovative dispensing solutions continue to be broad based. Compared to the prior year, core sales increased in each of our business segments and each geographic region. Our business in Asia and Latin America generated excellent core sales growth in the quarter. I'm particularly encouraged by the fact that our strong growth in Latin America was due in part to further penetration from our Food + Beverage and Pharma segments, which traditionally these have been our smaller businesses in that region. In the U.S., we saw positive growth over the prior year. And you may recall, this region declined year-over-year in the second quarter. Europe, our largest region in terms of sales, was up modestly, but at a slower growth rate than we've seen earlier this year. Certain customers in Europe had become more cautious in light of recent economic indicators. Despite some of the challenges in the quarter, we reported earnings per share of $0.73, which was our highest reported EPS for any third quarter. Earnings reflected strong performance by our Food + Beverage and Pharma segments, a decline in segment income in our Beauty + Home segment and the negative impact of some tax-related items that we'll cover later. I'd like to offer a few comments on our business segments before I turn it over to Bob for a review of our financials. Our Beauty + Home segment continued to face soft conditions in the U.S. with a decline of sales in the region. Weak demand from our U.S. personal care and beauty markets was partially offset by increased sales to the home care market. Growth in other regions offset the decline in the U.S., and the overall segment reported an increase in core sales. Profitability was negatively impacted by the softness in the U.S. and some facility start-up costs that we have continuing in Latin America. We do continue to implement cost-saving measures throughout the segment. It was a very active quarter in terms of new product introductions by our customers, and I'll go over just a few of them. I'm very pleased to report that we have 2 new technologies in the beauty market. The first is a new fine mist pump that delivers a long, continuous spray with a very soft actuation force. This new technology was chosen by Bvlgari for one of their prestige fragrance lines. Another new technology on the market is our airless pen-like system that was chosen by L'Oreal to dispense an antiwrinkle serum. And in the personal care market, we participated in several new sun care and spray deodorant introductions in Europe and Latin America, including on P&G's Gillette and Old Spice brands. And finally, in the home care market, Gillette restaged their Ajax multipurpose cleaning gel in Europe with our SimpliSqueeze dispensing closure technology. Now turning to our Pharma segment. Our Pharma business had another good quarter with sales and profits increasing over the prior year. Sales growth was driven by increased demand from the prescription drug in the consumer health care markets. In particular, I was pleased to see increases in the pain, central nervous system and eye care categories, which are smaller but rapidly growing categories for us. Sales to the injectable market decreased in the quarter due in part to some inventory destocking by certain customers and also a very difficult comparison to record levels achieved a year ago. We continue to provide the best delivery solutions to the pharmaceutical industry as we combine our decades of experience in the regulatory environment with state-of-the-art dispensing and sealing technology. In the quarter, we participated in several new customer product introductions, including a generic equivalent to ADVAIR that launched in the prescription drug market in Europe using our metered dose inhaler valve system, and CVS stores chose our Bag-on-Valve system for their store brand nasal saline mist for the consumer health care market here in the U.S. Now looking at our Food + Beverage segment, this business had an outstanding quarter. Segment sales and income increased in the quarter on strong demand for our leading dispensing closures from both the food and the beverage markets. We also reported a good level of custom tooling sales in the quarter. Our commitment to developing regions is paying off as we continue to gain further market shares in both beverage and food. It was also a very active quarter for this segment in terms of customer product launches. In the food market, I'm pleased to announce that our first food product using our Bag-on-Valve technology was launched in Europe. A world leader in the production of olive oil based in Spain has chosen our dispensing solution for a line of cooking sprays. Also in the food market, ConAgra has repackaged their flagship Hunt's ketchup in Mexico with an inverted SimpliSqueeze dispensing closure. In the beverage market, we're now supplying our innovative dispensing closures on liquid concentrate flavorings in Latin America and Eastern Europe, also where we participated in several new single-serve beverage launches. Now looking ahead, as we mentioned in the press release, the fourth quarter will be challenging. Certain markets in Latin America and Europe are expected to be weaker than we've seen in recent quarters. Further, we do not see the U.S. economic situation changing dramatically. In addition, we face tough comparison to a strong fourth quarter of the prior year, where we posted double-digit top line growth. And certainly, foreign currency exchange rates are much more favorable last year than they are today. However, our long-term outlook is extremely promising. We continue to invest in projects that help us grow profitably, and we'll continue to identify new opportunities for innovative dispensing technologies across each of our segments. Our financial condition continues to be very strong. We're positioned to continue to invest in our business and return value to shareholders in the form of share repurchases and dividends. And as you've read in the press release, our Board of Directors has approved a new share repurchase authorization for up to $350 million, and this new authorization allows us to pursue a more aggressive approach to repurchases. At this time, I'll turn it over to Bob, who will review some of the details behind our recent financial results.
Robert W. Kuhn: Thank you, Steve, and good morning, everyone. As Steve mentioned, we had a record third quarter supported by broad-based growth, and core sales grew by 6%. Comparable earnings per share were $0.74 for this year versus $0.70 a year ago. Current quarter earnings per share include a $0.01 negative impact from the net effect of tax-related items. The tax-related items include charges equal to approximately $0.04 per share from our legal reorganization in Europe. The impact of these charges was mostly offset by $0.03 per share related to certain foreign tax credits. Cash flow from operations this quarter totaled $90 million compared to $85 million a year ago. Capital expenditures this quarter were approximately $38 million compared to approximately $39 million in the prior year. Therefore, free cash flow, which we define as cash flow from operations less capital expenditures, was $52 million in the quarter compared to $46 million in the prior year. At the end of the quarter, on a gross basis, debt-to-capital was approximately 30%, while on a net basis, it was 15%. Regarding our share repurchase program, we spent approximately $38 million to repurchase 600,000 shares in the quarter. For the year, we deployed approximately $91 million to repurchase 1.4 million shares. And as Steve mentioned, we announced a new share repurchase authorization of up to $350 million and this new authorization replaces any previous authorizations. Turning to our quarterly market details by business segment. Our Beauty + Home segment's core sales increased 2% over the prior year. Looking at our markets on a constant currency basis compared to the prior year, sales to the beauty market increased 5%. Sales to the personal care market decreased 1%, and sales to the home care market increased 3%. Our Pharma segment's core sales increased 5% over the prior year. Looking at our markets on a constant currency basis compared to the prior year, sales to the prescription market increased 7%, sales to the consumer health care market increased 8%, while sales to the injection market decreased 5%. Our Food + Beverage segment had a very strong quarter with core sales up 25% over the prior year. Increases in custom tooling sales contributed 6% to the sales growth. So excluding tooling sales, product sales increased 19%. On a constant currency basis, sales to the beverage market increased 42% or 28% excluding the tooling sales. Sales to the food market increased 13%. Taking a look at core sales excluding currency effects on a regional basis, Europe was up 1% in the quarter, while the U.S. grew by 3%, and Latin American core sales increased by 20% and Asia was up 29%. Looking at a few year-to-date figures. Year-to-date cash flow from operations totaled $200 million compared to $194 million in the prior year, and capital expenditures were approximately $125 million compared to approximately $110 million in the prior year. Therefore, free cash flow, which we define as cash flow from operations less capital expenditures, was approximately $75 million compared to $84 million in the prior year. Going forward, we expect depreciation and amortization for 2014 to be in the area of $150 million and capital expenditures to be approximately $170 million. For the upcoming quarter, we expect earnings per share, using a 33% effective tax rate, to be in the range of $0.58 to $0.63 per share compared to $0.54 per share reported in the prior year. Comparable earnings per share for the fourth quarter -- prior year fourth quarter were $0.60 per share. I'd like to take a minute to walk you from last year's adjusted Q4 earnings per share of $0.69 to the $0.60 number, which is comparable to this year's fourth quarter. So starting with the $0.69 adjusted earnings per share, we estimate that changes in currency rates make up about $0.04 of the delta between this year's fourth quarter and last year's fourth quarter. Concerning the French tax, which was $0.10 in the fourth quarter last year, we need to leave in $0.03 or the fourth quarter's impact into the fourth quarter, so that's another $0.03. And then the delta of $0.02 is a net of tax-related items, positive tax-related items, that occurred in the fourth quarter last year that are not anticipated to repeat again in the fourth quarter this year. So all in all, our forecasted effective tax rate in the fourth quarter of 33% is very comparable, then, to the 33% after making these adjustments to last year's numbers. At this time, Steve and I will be glad to answer any of your questions.
Operator: [Operator Instructions] Our first question comes from Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: First off, on the new products, you highlighted, for example, the fine mist pump. Can you kind of give us a sense as to how the margins for these are relative to previous new products you have had for comparable products in the segment historically? Because it seems like your competitors also have comparable products to some extent. So has the margin profile changed significantly versus maybe some of these new products historically?
Stephen J. Hagge: No. I think on our new products, our margins tend to be above the average for new products. That's consistent with what we've had in prior years. And again, we're targeting -- I think it's important that when -- particularly in Beauty + Home, a lot of these products are for niches and aren't going to come back and apply to 40% or 50% of the overall sales within that particular segment. But overall margins are consistent and they're generally up from what they were beyond average, Ghansham.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just in terms of the share buyback announcement -- or the authorization, I should say, since 2005, kind of looking back, your share count's down about 5 million shares on a net basis, which, relative to your peer group, isn't that all that significant in terms of a decline. Are you signaling a more aggressive phase for the company in terms of buybacks?
Stephen J. Hagge: Thanks, Ghansham. Yes, I think -- and again, I specifically said in terms of my comments, both in the press release and then on this call, we are looking to be more aggressive. When we've looked at our business in terms of abilities to fund from our free cash flow, capital expenditures, potential merger and acquisition activities for us, we feel that the balance sheet has got more ability to come back and do more share repurchase. So we intend to be more aggressive as we go into both the fourth quarter and the first part of 2015.
Operator: Our next question comes from Mark Wilde with BMO Capital Markets.
Mark Wilde - BMO Capital Markets Canada: Yes, I'd like to just, first, follow-on on that buyback. Steve, can you give us any sense of sort of what you think the pace of that may look like?
Stephen J. Hagge: Mark, it's difficult to say. I can -- the only thing it is we've been doing is roughly about 2 million shares in terms of number of share repurchase, where that number I would anticipate being up considerably as we start to go back -- looking back over the next quarter and into next year. But right now, we're -- I'm not have -- be able to come back and give you any more detail around that.
Mark Wilde - BMO Capital Markets Canada: Okay. And then my follow-on is just in regards to that Pharma business. The margin that you put up again this quarter is at the upper end of the range. I know this question has come up before, but what's it going to take so that you can kind of continue to operate at the upper end of that, I think, kind of 23% to 28% range you've given us in the past?
Stephen J. Hagge: Well, again, I think, Mark, what we're doing is we still think that the range is 23% to 28% and that depends on the mix of the business. So today, for example, our elastomer business that's in the injectable is at a lower margin, but frankly, at a very significant overall contributor to Aptar. So if we can continue to generate sales there, it may drive the margin down slightly, percentage-wise, but overall profitability will be positively impacted. So we still think that the margins of anywhere between 23% and 28% are realistic for this business going out. But as you said, we've been fortunate this year. We've been more to the high side, but I can't tell you that, that's going to be a long term, where we're going to trend from now going out.
Operator: Our next question comes from Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: Question I have to start with is on the injection business. And I seem to remember last year there were some pretty big quarters, and I just didn't know if this decline in sales was sort of a result of the tougher comparison. Or is there something else going on there where you would say you see a slower growth trajectory going forward?
Stephen J. Hagge: It's a good question, Chip, in which you are correct. Last year, particularly in the third quarter, we had one of our strongest quarters in terms of the elastomer business. What we've seen is a little bit of inventory contraction, and I think that's pretty consistent with what we've seen with other companies that are in this sector talking about. So for us, it's tough comps, somewhat of inventory contraction, but we continue to be very bullish on the elastomer part of our business as we go into -- particularly as we go into 2015.
Chip A. Dillon - Vertical Research Partners, LLC: Okay. And then the bridge comparing this year to last year is very helpful and I know there's some soft issues in the fourth quarter in seasonality, but just taking a stab at least early 2015, let's say, at least the first quarter. If I look at these $0.09 of items, I'd assume that $0.02 of that are kind of the other tax things won't repeat. But if the currencies kind of stay where they are and you still had the French tax, I would imagine that you still kind of have a $0.07 headwind year-over-year in the first quarter. And would that kind of dissipate by the second half? Or how should we think about that?
Stephen J. Hagge: Well, let me give you -- on the French tax, the French tax is already in our first quarter. So first quarter of the first quarter, that's already in, you won't see that. The $0.02 that Bob talked about, the kind of the onetime, yes, those will actually go away and you won't see those recur. And currencies, kind of, who knows? If it stays where it's at today, the first quarter will be impacted because the dollar has strengthened, particularly the euro. That would -- given the exchange rates that we had in the first quarter, you'd still see some negative impact on our earnings in the first quarter.
Chip A. Dillon - Vertical Research Partners, LLC: I see. So the way to look at is that the $0.05 that are related to the tax items, obviously, do not repeat year-over-year because you saw that in the first quarter of '14, so the headwind's a lot less in the first quarter.
Stephen J. Hagge: That's correct, in rough numbers. Your numbers are roughly about that -- I would agree with that.
Operator: Our next question comes from Adam Josephson with KeyBanc Capital Markets.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Bob, just a couple of questions on the guidance. One, just in terms of -- given all the adjustments you talked about, when you say the fourth quarter guidance represents a fairly normalized number given -- in terms of the expected tax rate. Any other items, assuming current FX rates stay where they are?
Robert W. Kuhn: I mean, in terms of the 33% tax rate that we gave, I mean, normally, we're between 33.5% and 34.5%, given any 1 quarter. So maybe the fourth quarter, 33% is slightly on the lower side than normal. On the currency side, it's really a factor of where we project the fourth quarter earnings, which is at the end of the third quarter, so where spot rates are at the end of September. And that's going to change quarter-to-quarter. And you really have to just benchmark against where first quarter was, where fourth quarter was. But definitely, looking at the spot rates in September compared to where the fourth quarter average rates of last year ended up, the dollar is stronger against almost all currencies and negligibly weaker against a couple of others. So it's really -- it's a headwind on most of our business.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Got it. And just one follow-on on the guidance. You earned $0.74 in this quarter you just reported. You haven't earned lower than $0.71 in any quarter this year, but you're guiding to about $0.60, $0.61 in the fourth quarter. So how much of that sequential decline is FX? And what are the other factors at work? Because my understanding is the fourth quarter is typically not that much lower than the other 3 quarters, right, because your business is not particularly seasonal. So I'm just trying to understand the magnitude of the sequential earnings decline in the fourth quarter.
Robert W. Kuhn: Well, I mean, yes, typically, Q4 for us is a very challenging one to forecast because you have, depending on which way things are going macro economically, we could have customers pushing out stuff into the following year. But to address the currency question you asked, if you think about third quarter ended up, and I'm going to only use of -- I'm only going to peg to the euro, we were at about a $1.32 average rate in the third quarter. We're looking at a $1.26 rate for the fourth quarter. So if you look at last year at $1.36, going from $1.26 to $1.36, roughly $0.04, $1.32 to $1.26, you're somewhere between $0.02 and $0.04 on the sequential side. The rest really relates to really a lot of the macroeconomic uncertainties. I mean, it's a little bit of the anticipated softening that we're seeing in Europe that Steve talked about. It's continued softness in U.S. for the fourth quarter. And again, we're starting to see some slowdown in Latin America. So it's really just due more to the uncertainty.
Stephen J. Hagge: Let me follow on just a little bit to that macro issue, Adam, because I think we have to take that into context. When we're having discussions with our customers, I would tell you they continue to be pretty optimistic as they go into 2015. What they are is very cautious around short-term issues, whether that's the effect of Ebola on their business or Eastern Europe or some of these other issues. But when I look to '15 and I look at the project portfolio that we're working it with across all 3 of our segments, I would get a much more positive, frankly, overview out as I get into early '15 as opposed to more cautiousness into the fourth quarter of '14.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Bob, just one last one. So from 4Q, from your $0.60 to $0.61 to 1Q '15, can you remind me, I think Chip was asking about this, but is there anything unusual in the 4Q number that shouldn't repeat sequentially into 1Q '15?
Robert W. Kuhn: Nothing that we're seeing. I mean, we would have called that out if we thought that there was something either unusually positive or negative in the snapshot like we usually do. So no, I don't see anything that's in our projected fourth quarter that's a one-off item that won't be in Q1.
Operator: Our next question comes from George Staphos with Bank of America.
George L. Staphos - BofA Merrill Lynch, Research Division: A lot of my questions were already asked. So I guess, my first question would be, what drove, if you can identify any -- if you discussed already and I missed it, I apologize. What drove the growth in beverage in the quarter? And were you pleased with the incremental margin you got in Food + Beverage broadly? And then, the other question I have, more bigger picture, I'm just scanning my model here, going back a few years, and earnings have been more or less in the same range, at least back to '11, in the, call it, $2.50 to high $2 range without much of a slope, an upward slope. If we look back over the last few years, what's been the biggest impediment do you think to seeing a little bit growth out of your business on a bottom line base? Has it been FX? Has it been competition? Has it been the macro?
Stephen J. Hagge: Thanks, George. Let me try to deal with the beverage issue in the quarter. We were, I think, really pleased on the beverage side, and also, by the way, on the food side, which we've been somewhat flattish on food growth over the last couple of quarters and we saw good growth coming into the third quarter. But specific to your question on beverage, what is, I think, very positive for us was the growth in Asia and Latin America, together with both the U.S. and Europe. So it was broad-based growth, and it's a reflection of new projects that we've got coming on, on those markets and the continued expansion of the business. I will tell you that we were somewhat surprised at the high level of growth. We're not going to be -- I think, it was 19% products side. That isn't a continual ongoing quarter-to-quarter growth rate for us. So we had a lot of things go well, people filling inventories, doing whatever, so that was a positive coming back. In terms of the growth rates, I mean, we've had some impacts that have been challenging, if you look back over time, that I think we're not going to be seeing as we're going into 2015. Some of those have been -- we've started up 2 facilities in Latin America that had some negative impact on us. We did some restructuring in Europe. We're now starting to see the benefit of that. We're putting in some restructuring in North America that will impact, starting already, a little bit in the fourth quarter, but having a very positive impact in Beauty + Home we see in 2015. So if you come back, those are the encouraging things that we see going into 2015, and we tend to be pretty cautiously optimistic about 2015 as we look forward. And we're -- Bob and I are just now going through all the budgets, getting -- as we're getting a first look at what our expectations are for next year.
George L. Staphos - BofA Merrill Lynch, Research Division: Just the related points there, I'd asked about the incremental margins in Food + Beverage. Were you pleased with them? And should we continue this going forward? And on the restructuring answer to my other question, I mean, are you suggesting that it takes you 2, 3 years to get a benefit from restructuring since we're already stripping out the restructuring from earnings?
Stephen J. Hagge: Again, I think on the incremental margin, we were positive coming back in terms of what we've got. The more we're going to leverage off of those, we'll actually see that increasing if we get that kind of a bigger pop in the future. But overall, I still was saying we're pretty positive about where the margins were. The question on the restructuring, what you've got is you actually have restructuring in Europe that we're seeing some of those. That was offset, frankly, by some weakness that we've seen in the U.S. So unfortunately, we did get to see some of the restructuring savings and we saw it within the time frame we were looking for. Unfortunately, within Beauty + Home, it got offset by some weakness we saw in the U.S., so it didn't translate to bottom line growth. Again from our perspective, we look to be more capitalizing that on 2015 as we get North America straightened out.
Operator: Our next question comes from Al Kabili with Macquarie Capital.
Albert T. Kabili - Macquarie Research: I just wondered if you could, maybe Steve, just expand a little bit on the commentary of seeing a bit of weakening in Latin America and Europe and certain markets. Where, specifically? I assume that's in Beauty + Home. And maybe just the size of that weakening, dramatic or just incrementally, give us a sense just on the sense of the direction of the trajectory there.
Stephen J. Hagge: Okay. Again, I think if you looked at it, Al, it tends to be -- when we talk weakening, I think it's more cautiousness with our customers. And actually, it's cautiousness across all 3 segments; it's not just one. Now let me take Latin America. Certainly, in Latin America, Beauty + Home is our predominant segment selling there. So what you come back -- if you looked at the election in Brazil or what's going on in Argentina, there's just more conservatism on our customers as they're launching products and selling products. So if you saw in the third quarter, we had a very strong Latin America third quarter, so I think it's a reflection -- boy, I'm not -- a little bit of our customers are going, "I'm not sure what's going on in terms of what the fourth quarter is going to bring." When we look to Europe, again, we've had a very strong first 3 quarters in Europe. We've done well, particularly against the overall macroeconomic, but things have slowed down in Europe and I think there's a question. Europe gets also influenced from our customers as a they look to Eastern Europe, which is an indirect indicator for us as they ship product into the Ukraine or Russia. Certainly, those type of products have been slowed somewhat. And while it's difficult for us to actually quantify that, we're also feeling that in some of their projections until they get that region stabilized a bit more.
Albert T. Kabili - Macquarie Research: Okay, that's helpful. I appreciate that. And then, I wanted to follow up on sort of Beauty + Home, which has kind of been a drag and offsetting some of the growth you're seeing in the Pharma and the Food + Beverage side. And then you highlighted earlier the drag from the U.S. side and the start-up costs in Latin America on the 2 facilities. Do those -- do you feel like those headwinds, we lap those, and we can start to see growth, all else equal, next year because of that? And related to those start-up costs in Latin America, do we need volume to absorb the fixed costs? Or is it more of an operational thing at this point, especially given the slowing we're starting to see in Latin America
Stephen J. Hagge: Thanks. Again, I would tell you I think, overall, we are positive about where Beauty + Home is going, particularly as we get into 2015. You mentioned a couple of the things. I think the start-up costs, we will start to lap. Certainly, volume is a big impact, too, there in Latin America, but we're going to be no worse than we were in the first quarter. So in effect, year-on-year, we should see growth. And right now, those start-up costs have gone from over $1 million per quarter down to around $600,000 to $700,000. So I think we're going to start to see the benefit of that new facility. Again, in Latin America, what I would stress is that it's not that we're seeing no growth, it's just a reduced level of the growth we've seen in the past. The U.S., going into '15, what we're doing, I'm convinced we'll start to see impact as we get into even the fourth quarter, but particularly as we go into '15. So -- and our customer outlook is the last area. The customers that I've talked to are still pretty bullish about 2015. So we're right now very cautiously optimistic that we'll see improvements in Beauty + Home as we get into next year.
Operator: Our next question comes from Chris Manuel with Wells Fargo Securities.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: A couple of questions for you. Along the lines of start-up costs, where you were just kind of walking through how that's been moving down. I know, Bob, you hate talking about out quarters and thinking about first quarter, second quarter beginning of next year, but as you start the Stelmi facility up, do you have maybe a gut feel for what you think start-up costs will be? If I think back to previous times and you've had Pharma start-ups, they tend to be a bit higher, usually a couple million a quarter. But is that a reasonable ballpark to think about, Q1, Q2, Q3 next year of a potential headwind?
Robert W. Kuhn: Chris, as Steve said, we're -- we still are just now getting into the 2015 budgets. So I mean, I'll know a little bit more in the coming weeks on that. I don't have a good estimate for you. I think it's reasonable to assume that heading into 2015, we'll see some slight increase in the structure costs. But remember, that -- a lot of that additional capacity is going to be coming on stream early in the second half of the year, and then we'll be validating it with customers. So it'll be a while before we're actually selling through some of that. I can't tell you right now the timing of when some of the adding of the costs are going to be until we get a better look at where the budgets are.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Yes, that's helpful. Two other kind of housekeeping questions. One, if we were to kind of peg currency where it's at as we sit today, the headwind over all of '15, if I did my math, is probably in that $0.08 to $0.11 range. Does that sound about right?
Robert W. Kuhn: Again, it's hard until I can see the mix of where the sales are coming from next year. What we can try to do is model this year's once we get fourth quarter's in. But we have to really wait to see where it is. I mean, I can't really tell you how close that is. It sounds to be close in the range, but I won't know until I see where the mix of the sales by countries are going to be.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. Last housekeeping question was CapEx came down about $20 million. Is that kind of a slide? Or is that a -- maybe an adjustment for currency?
Robert W. Kuhn: No. Well, it's a little bit on the adjustment of currency, but very little in the third. I think the fourth is going to be more currency related and then some of the Stelmi actual cash expenditures related to that will be leaking into 2015. So it's a better view at this point of where we think that -- the capacity on the actual cash spend, where it's going to fall.
Operator: Our next question comes from Debbie Jones with Deutsche Bank.
Deborah Jones - Deutsche Bank AG, Research Division: Could you guys talk about the cost-saving efforts in the U.S. that you mentioned and just maybe what type of potential benefits you're hoping to achieve from this?
Stephen J. Hagge: When we talked at the Analyst Day, when we had that back in September, we estimated that those costs will be $10 million or above. Those -- they're coming from kind of 3 different areas. It's some labor savings that we're going through and we're implementing some of those today. It's taking a look at some of the products we have and eliminating some of the unprofitable products and also tactical price increases. So it's coming from those 3 buckets. That process is well underway as we start now. And again, the biggest benefit we'll start to see is that as we get into 2015.
Deborah Jones - Deutsche Bank AG, Research Division: Okay, that's helpful. I'm wondering also if you could just -- I know you referenced a little bit here about trends you've seen recently, but have you seen a meaningful shift from kind of September to the first 30 days in October? And just how concerned do you think some of your customers are about the impact of Ebola and travel concerns on your Beauty + Home business in things like fragrances and things like that?
Stephen J. Hagge: Well, again, I think if I look to the fragrance business, there's a lot on the prestige side, and frankly, we've seen that early. We've actually had a very good year in our beauty sales up through the third quarter. I think we're up 6% overall on a worldwide basis. I think what I'm seeing, Debbie, is less reduction in -- right now, it's more cautiousness in placing orders. So we haven't seen anybody backing off orders that they placed with us, but they're cautious about what orders they're placing. So the mood, I think, has turned a little bit more cautious rather than pessimistic, and that has been balanced by people that -- again, almost with every customer saying, "That being said, we're looking for a pretty good 2015."
Operator: Our next question comes from Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: Just a point of clarification. As you've talked about the fourth quarter and some incremental weakness in Latin America and Europe, I'm assuming that, that is -- that's based on macro concerns. Is there anything kind of company specific or share related there? Or are we just talking kind of caution on behalf of some of your customers, given the macro backdrop?
Stephen J. Hagge: I think, Jon, it's definitely macro. In fact, I'd say right now we are at or above market share positions than we've been in the past. So we continue to do well in terms of markets that we're selling. It is definitely macro from our customers on what they're doing. And I think if you look at customers like the Walmarts of the world, you just get people that are out there being cautious as they look forward, and I think that's reacting back to the Procters and the L'Oreals and guys that we sell to.
Jon Andersen - William Blair & Company L.L.C., Research Division: This may be a little bit of a stretch, but I'll ask it anyways. Procter is shedding quite a few brands, and we're hearing about significant cost-saving efforts by other manufacturers, your customers in the consumer kind of staples arena, given the kind of the tough demand environment. Does the kind of M&A or the brand divestiture activity help or hurt you, I guess, number one? Or is it kind of -- are you agnostic to it? And then, in terms of just cost-saving efforts by some of your customers, does that tend to trickle down in terms of pricing pressure or potential less new product activity?
Stephen J. Hagge: The brand has kind of a double impact for us. One, if they sell the brand, whoever buys it typically tries to reenergize the brand. So for us, net-net, that actually might prove to be a long-term plus. If Procter decides just to get rid of the brand, in theory, that should level itself out in customer behavior to other brands, either within Procter or someone else. So net-net, I would say that we probably view this as neutral to positive. In terms of price, it's always been a challenging price market. Certainly, as all of these customers will look at price, they're going to challenge us on the price, but I'd point out that they're also looking for product differentiation, which is as critical as reducing just the price of the product. It's how can they end up changing the product to make it more acceptable to all of us as consumers. So we tend to benefit from the second, and we continue to get challenged with the price on the first part.
Jon Andersen - William Blair & Company L.L.C., Research Division: That's great. Great color. Just a last one for me. Oil, I guess, prices have turned down quite a bit here. Does that work its way into resin prices? Or how does that -- how do you think about that kind of maybe impacting your cost structure during the coming quarters?
Stephen J. Hagge: Okay, Jon, I'll -- let me give you a little bit of what's happened that we've seen in terms of resin price. Again, polypropylene is the biggest resin that we use worldwide. If you look at polypropylene prices in terms of the indexes, in the U.S., we saw a price increase of $0.03 to $0.05 a pound based on -- depending on where the index is at, in the month of October, relatively flat in Europe in the month of October. And then, the projections are that November and December, both markets should see decreases. Depending how quick and how fast they come, that should be a net positive for Aptar because we'll -- there's a bit of a time lag as we pass the decrease. If the big challenge is, is when those price decreases, if they do come about, when do they come about? Is it late November, mid-December? When are they going to come through?
Operator: Our next question comes from Jason Rodgers with Great Lakes Review.
Jason A. Rodgers - Great Lakes Review: Looking at the North American plan restructuring, did you give any detail as far as the size of that restructuring and potential benefits?
Stephen J. Hagge: Well, again, the benefits, we see to be around $10 million. The cost of that is actually relatively low and it's already included in the numbers. There's no -- it doesn't have the significance that we had in Europe a couple of years ago. So again, it goes across both pricing issues, rationalization of product as well as taking a look at our internal cost structure. So we've actually started that process. But again, the gross number for that is a $10 million-plus number that were looking for.
Jason A. Rodgers - Great Lakes Review: That's $10 million in savings for the full year 2015?
Stephen J. Hagge: 2015. It'll be more of a 2015 look by the time it gets implemented. So it would be savings at both top line as well as savings. It's a combination of both of those, Jason.
Jason A. Rodgers - Great Lakes Review: And then, I know it's early in the budgeting forecast, but any early thoughts on CapEx, at least directionally compared to 2014, as well as the tax rate?
Robert W. Kuhn: I mean, tax rate, again, I would probably anticipate next year to be in that 33.5% to 34.5% rate. And CapEx, we've been trending slightly above D&A the last few years. I mean, again, we're going to take a look at it on a project-by-project basis. Our starting point is always slightly below D&A and, based on what we see as opportunities out there in the market, will dictate the number that we will forecast coming back into January.
Jason A. Rodgers - Great Lakes Review: Speaking of opportunities, you've mentioned your product portfolio, the positive forecast for that for next year. Is that broad based? Or are there segments that you think will really benefit from that?
Stephen J. Hagge: Well, I think it's broad based. That's what I think is encouraging as we start to look out. If I look at our Pharma segment, we've seen excellent growth this year. You just saw that our Food + Beverage has had good growth. We see both of those continuing. And frankly, our top line growth in our Beauty + Home has been 4% for the year. So again, when I look at that, it has not been a sales growth issue for us, it has been more of making sure we get the margins coming out of the business. So right now, again, we tend to be cautiously optimistic across all 3 segments going into 2015.
Operator: Our next question comes from Brian Rafn with Morgan Dempsey.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Give me a sense -- Steve, you talked a little bit about being fairly positive about your pipeline going into 2015. Given the size, the scope, the constitution, the mix of that pipeline, what chance, if any, is there if the kind of the muted caution of the fourth quarter bleeds into 2015 that some of those projects could be delayed or stretched out or maybe volume shrunk? Or are those things pretty much booked and locked?
Stephen J. Hagge: I think there's always a risk that there'll be a slowdown to that. Now again, some of those projects are still fairly far along, but I would tell you, if there's a dramatic issue that's out there or that you have some other event, our customers are going to end up reacting to offset those. So I don't view it as a high risk, but there's always a risk, Brian, that someone is going to pull back on a project that they wanted to launch in January, February and make that later to see what's happening economically.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Yes, okay. Give me a sense of -- you talk a little bit about maybe the cosmetic and the kind of the perfume fragrance area. You mentioned a little about prestige. How do you see that market, being that all of the holiday Christmas stuff should be bought? What do you see for Christmas holiday 2014?
Stephen J. Hagge: Again, I can only give you kind of anecdotally from the discussion with the customers and what I'm seeing here a little bit in the U.S. and discussion in Europe. Overall, the Christmas season is at least projected to be relatively good, and actually, this currency issue for some of the prestige guys, where the euro has weakened, actually helps some of our customers as they distribute their product outside of Europe, if you're a French-based perfumer. So I think -- well, again, we've had a good beauty -- sales to the beauty market are up 6% on a year-to-date basis through the first 3 quarters. So I think we've got our customers relatively optimistic about where Christmas is going. And we'll see if we get any emergency back orders to fill some of those as we get into late this year, and in particular, early part of next year.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Okay. And then on -- back to your pipeline, Steve. Any sense of changes versus the last few years in the size of projects, maybe the unit volume, the launches, geographic, whether it would be more regional, national or international? And would you say the pipeline is more smaller projects or fewer but much larger projects?
Stephen J. Hagge: I think the trend that we've seen, particularly over the last 2 to 3 years, is continuing, so I don't think there's much change that we've seen over that. I mean, there are -- and again, it's very dependent on the customer. Some do much more of a worldwide launch, some start products and go region to region, and it's very different. And again, that -- what we're talking about is much more Beauty + Home here as opposed to Food + Beverage and Pharma, which tend to be heavily more regulatory or more regional based. But there hasn't been, Brian, a big change from that over the last 2 to 3 years in terms of launch volumes, et cetera.
Brian Gary Rafn - Morgan Dempsey Capital Management, LLC: Yes, okay. And I have just one more. Steve, a lot -- primarily on the consumer products, maybe the hygiene and the personal care area, has been this redesign of product where you used to get 16 ounces for $2.69 in shampoo, now you get the same container, same color, same shape, but it's now 12 ounces. Are you still seeing a lot of that shrinkage in volume for the same price? It's kind of an embedded inflation.
Stephen J. Hagge: Well, I mean, certainly, again, what we're seeing from our customers is package size, they differentiate. And generally, when they're differentiating, you're getting less product in the container. So that trend, from what I'm seeing is -- or at least as a business, we're seeing that, again, in Beauty + Home and a little bit in the Food + Beverage side. But yes, I think that trend, you're going to still continue to see that through 2015.
Operator: The next question comes from Mark Wilde with BMO Capital Markets.
Mark Wilde - BMO Capital Markets Canada: Yes, just a couple of quick follow-ups. Steve, I thought in your comments at the start, you mentioned something about sort of the U.S. changing dramatically recently. Can -- did I misread that? Or can you just clarify?
Stephen J. Hagge: I apologize, if I maybe misstated that. What I said was I didn't see the U.S. changing dramatically. So it's not going up or down. So in effect, I do think we'll see a slight improvement, but it's not going to be something that's going to be material, Mark.
Mark Wilde - BMO Capital Markets Canada: Yes. Okay, that's very helpful. And then, secondly, Steve, just going back to Stelmi, I think when you acquired them, part of the idea was that you were going to be able to kind of expand that business and take them into the markets where historically they hadn't been regionally. So you'd kind of buy a #3 player and really kind of expand their footprint. How successful do you feel like you've been with that strategy? And is that a good template for your Pharma and health care business going forward?
Stephen J. Hagge: Yes -- no, I think right now, we're just starting to begin to see some of the fruits of that now having effect. And particularly, when you get into regulatory markets like Stelmi, the elastomer business, you need to get qualified. But given Aptar's worldwide presence, we're having a lot more opportunities in Asia and in the U.S. and outside of kind of the Stelmi footprint. In addition, we continue to look at, do we have to supplement kind of, not full manufacturing, but even partial finishing for our elastomer products in regions outside of Europe? So the base that we're going to do with the expansion with Stelmi is going to give us a great base to be able to take this business and make it much more worldwide. So again, I -- the strategy that we've put in place and we thought about, we still continue to feel very positive as we go forward.
Mark Wilde - BMO Capital Markets Canada: Would you say it's a longer ramp-up that you might have expected initially?
Stephen J. Hagge: No. In fact, I would tell you that what we were surprised at was how quickly our products, particularly over the last 1.5 years, even prior to 2014, ramped up. Again, we were -- being in the regulatory business, Mark, it's a difficult, long-term side. But what I'm very encouraged with is the number of new projects that we're working on that, frankly, I don't think Stelmi would have been working on if there wasn't an Aptar ownership of that.
Mark Wilde - BMO Capital Markets Canada: And when would you think, Steve, we should start to really see some kind of fruit from this?
Stephen J. Hagge: I think you're going to start to see the big one is we'll get the new plant done as we get through the middle of 2015. We now need to get qualified by customers. So it's probably a late 2015 into '16 before you start to see some volume -- some substantive volume increases.
Operator: Our next question comes from George Staphos with Bank of America.
George L. Staphos - BofA Merrill Lynch, Research Division: I'll ask them in sequence since we're late in the call. First, the obligatory -- any change in rate of competition in any of your markets that you'd want to call out? Secondly, given the recent news on health concerns around the world, have you seen any kind of pickup in any of your products that are aimed at hand sanitizer, recognizing you're not the largest guy in that market? And then, lastly, Steve, last time we visited, you talked about multiples being a little bit higher than normal, in fact, perhaps, somewhat peak-ish on private deals. Has that market at all calmed down? Or are you still seeing the same level here?
Stephen J. Hagge: Thanks, George. Let me see if I can come back and I'll try to deal with all 3 of them. On the competitive side, I don't think there's been a substantive change in terms of where competition is. It's been a -- we deal in a competitive market. I think we have great products, and we can compete very effectively in those markets. So I don't see anything in the competitive landscape that has changed substantively for us. In terms of the health care market, you're right that we are starting to see -- and again, this is very early. When we got into N1H1 (sic) [H1N1] several years ago, the hand sanitizer market picked up, lotions picked up. I think you're going to see an increase to that. I don't think it's going to be a needle mover for us, and we're still early on as to what that's going to do. And we'll have to see how that impacts in terms of our other Pharma sales if there's anything there. I mean, I hate to say this, but at least in the short term, the Ebola issue through that is probably more of a positive than a negative if it kind of stays where it's at today. The last one, in terms of multiples, they tend to -- the multiples that we've looked at for M&A have been a bit elevated, but actually have come back maybe a half a turn or so since we were talking 3 or 4 months ago. So I think they're starting to become more aligned in terms of what we would -- that would make sense for us.
Operator: Our next question comes from Adam Josephson with KeyBanc Capital Markets.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: First, for Steve. Steve, this might be a bit of a stretch, but other packaging companies have been talking about lower gas prices potentially being a significant benefit to spending in the U.S. I mean, do you buy into that? I mean, your comments seem to suggest otherwise in that you're saying you don't expect much of a pickup domestically, but just curious as to your thoughts on that. And obviously, GDP growth here has been quite good, but we're just not seeing it on the consumer side and haven't been for some time. I mean, do you have any thoughts as to what accounts for this seemingly growing disconnect between the 2?
Stephen J. Hagge: It's hard for me to relate to what the other packaging companies are seeing, but what I've tried to do is go to our customers, and if you look at a Procter & Gamble or Unilever or even some of the retailers like Walmart, I don't think you're seeing huge, at least up to this point, huge pluses. I would tell you that -- I mean, my personal feeling is that lower gas prices should help, and I think maybe that comes back a little bit of the feeling that Christmas may be of a better Christmas season than we've had in a couple of years here in North America. So on whole, lower gas prices have to help us, but again I still think our customers, at least the ones that we're talking to, are still cautious, I mean, so I don't think they're ready to bet the farm yet.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Got it. And just one on Beauty + Home. The last -- your fourth quarter of last year margins were fairly low at 6.3%. I mean, do you expect them to be down year-on-year this quarter? Or are you expecting some improvement there?
Stephen J. Hagge: Right now, we're coming back -- I don't see huge improvements coming back in the fourth quarter. Most of the improvements we're going to see in margin are going to be 2015 based. So I would say that we were hoping to be at or above last year's level and not substantial -- but it's not going to be a substantial issue. So we'll end up seeing where those go, but it's still too early to tell kind of where the quarter is going to end up.
Operator: I'm not showing any further questions at this time. I'd like to turn the call back over to Mr. Hagge for closing remarks.
Stephen J. Hagge: Thank you very much. This concludes our call today. I wish everybody a Happy Halloween, and I'd like to thank everybody for joining us. Thank you.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect, and have a wonderful day.